Operator: Hello and welcome to the IAS 2022 First Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session.  It is now my pleasure to introduce Jonathan Schaffer, Head of Investor Relations at IAS.
Jonathan Schaffer: Thank you. Good afternoon and welcome to the IAS 2022 first quarter financial results conference call. I'm joined today by Lisa Utzschneider, CEO; and Joe Pergola, CFO. Before we begin, please note that today's call contains forward-looking statements. We refer you to the company's filings with the SEC for more details about important risks and uncertainties that could cause actual results to differ materially from our expectations. On today's call, we will also refer to non-GAAP measures. A reconciliation of non-GAAP measures to the most directly comparable GAAP measures is contained in today's earnings release available on the company's IR site, investor.integralads.com. So, with these formalities out of the way, I'd now like to turn the call over to our CEO, Lisa Utzschneider. Lisa, you may begin.
Lisa Utzschneider: Thanks Jonathan and welcome to everyone joining today's call. Our first quarter results exceeded our expectations for the period and despite the global macroeconomic and geopolitical climate, we are providing positive financial guidance for the rest of the year. We are executing on our growth strategy, investing in differentiated technology and accelerating our product roadmap and time-to-market with targeted acquisitions. We're also creating value for our customers through our focus on customer obsession and innovation which is fueling our growth. Our solutions have never been more relevant. Marketers rely on IAS to protect and amplify their brands across the digital media landscape that is rapidly evolving and increasingly difficult to navigate. As the massive digital advertising market continues to grow at double-digit rates, IAS ensures that our customers' advertising creating is viewable by human in brand-safe brand-suitable environments and in the desired geographies. Increasingly, marketers are also looking to IAS for contextual targeting and campaign optimization. According to eMarketer, today's global digital advertising market, excluding search, has grown to over $300 billion. As a leading digital media quality company, we offer ROI solutions to help marketers invest in high-quality media and drive greater returns and efficiencies on their digital advertising spend. We empower marketers with first-to-market high-quality differentiated products. We bring deep integrations with major platform partners that drive innovation and we are leading the way in promising channels like social media and CTV. During the quarter, we realized growth across our business highlighted by a 53% increase in programmatic revenue. Total revenue for the quarter grew 33% to $89.2 million. Adjusted EBITDA reached $24.8 million at a 28% margin. We also achieved net income profitability for the period of $1.2 million or $0.01 per share. Overall, demand trends remain positive despite macroeconomic uncertainty, as reflected in our outlook for the second quarter and full year. We have a high degree of visibility into customer demand for IAS's products based on where we operate within the ecosystem. Our global sales team has closed impressive customer wins in recent weeks, with marquee brands including Progressive JPMorgan Chase and Activision Blizzard to name a few. Before I dive into the quarter in more detail I want to share with you two organizational changes. As you saw in today's earnings release, Joe will be leaving IAS to pursue new opportunities. He will remain as CFO through the reporting of our second quarter results and the filing of our 10-Q in August to ensure a smooth transition of his responsibilities. We have begun a search for a new CFO and have engaged an executive search firm to assist with our efforts. Joe has been a valued member of our senior leadership team since joining IAS in 2019. He brought financial structure and discipline to IAS as we transform the company. He then led the finance team through our IPO and first year as a public company. On behalf of the Board management and the entire IAS team, I'd like to personally thank Joe for his leadership, counsel and commitment to ensuring the company's success. We have a strong finance team with a deep bench that gives us a great foundation to support our future growth. In addition, I'm excited to announce today that Yanni  has joined IAS this week in the newly created role of Chief Commercial Officer. Yanni will be responsible for leading our sales and marketing efforts. Yanni brings extensive operational experience both in startups and large tech companies including Twitter and Yahoo!. He has a proven track record of driving growth by closely aligning sales marketing and product teams. He approaches businesses through a customer and commercial lens. Having worked with Yanni for nearly three years at Yahoo!, I've personally seen his ability to accelerate businesses particularly in the programmatic space. We are thrilled to have Yanni join the team. Turning now to our recent business performance in more detail, I'd like to provide an update on our four growth pillars including programmatic, social media, CTV and international. Let's start with programmatic, which for the first time represented more than 50% of our advertising revenue in the period. During the quarter, we generated strong demand for our Context Control solutions. Context Control represented 41% of programmatic revenue, up from 38% in the fourth quarter of 2021. Context Control includes both avoidance and targeting solutions. We currently have over 400 contextual avoidance and targeting segments of highly relevant content. Our contextual avoidance solution represents the vast majority of Context Control revenue to date. Our avoiding solution enables marketers to identify content unsafe and unsuitable for their brands as defined by GARM, the Global Alliance for Responsible Media. In March alone, we had 64 net new contextual avoidance activations. 80 of our top 100 accounts now use Context Control for avoidance, up from 76 of our top 100 accounts last quarter. Beyond the top 100, we are also seeing increased customer penetration and adoption which represents a significant opportunity for future expansion. The increased adoption of Context Control for avoidance uniquely positions IAS in the contextual targeting arena as well. Marketers value a single integrated solution, which reduces complexity. We are introducing new ROI tools within contextual targeting to enable marketers to better plan their campaigns and seamlessly optimize and activate targeting segments. These tools calculate reach simplify activations within DSPs and track segment performance. Lastly, within programmatic, we made enhancements to Total Visibility, our quality path optimization, or QPO, solution which helps marketers optimize media spend and drive campaign outcomes. We introduced a dashboard in our Signal user interface to provide marketers with a unified view of their global campaigns. The free version of the Total Visibility dashboard within Signal offers insight into how much spend is wasted on unviewable, unsafe and fraudulent impressions. It also provides quality CPM or QCPM, which helps marketers understand both the quality of media they are buying and the cost efficiency at which is being purchased. Marketers can then access premium services to optimize campaigns based on supply path view and quality financial metrics. As an example, we conducted a study with Visa EMEA to demonstrate the value of our QPO solution. Visa wants to develop the strategy to reduce waste and increase spend in working media by determining the most efficient buying pass. IAS monitor spend in over 18 European markets. Through IAS quality path optimization including redirection of spend away from low-performing SSPs and demands and comparing private marketplaces to open market buys, Visa significantly improved efficiency and increased campaign ROI. In social media, we are driving technology innovation for a growing number of platforms. Following the consumer shift to a digital-first lifestyle, user adoption of social media has reached unprecedented levels. In our social media ad receptivity report from February, we found that social media ad spend is projected to reach $82 billion in the US by 2023 and 96% of consumers currently use at least one social media platform. We're very pleased to expand our partnership with TikTok into new markets and products. Our pre-bid in-feed brand safety targeting solution for TikTok classifies video, image, audio and text in the live feed of TikTok consistent with GARM categories. Previously we launched our TikTok pre-bid brand safety solution in the US, Germany and France. TikTok and IAS are also expanding pre-bid brand safety to additional markets, including Australia and the UK. In addition we are thrilled to announce earlier this week the launch of the Global GA for measurement of TikTok viewability and invalid traffic, or IVT. This will allow marketers to understand the performance of their ads within the TikTok platform. By partnering with IAS, marketers have access to an increasingly comprehensive set of solutions to manage their campaigns on TikTok. Marketers go where the users are. At a recent investor event, Ron Amran Senior Director of Global Media at Mars, the home of countless and beloved consumer brands and a highly valued IAS customer said "TikTok is a fast-growing platform at massive scale already. They're highly engaging, their advertising inventory works and there's a strong targeting measurement capability." The technology we built in-house for TikTok, is scalable and portable to other platforms by promoting open industry standards for measurement, and access and content in mobile apps, a first of its kind integration at this scale. In the next few months, we will launch in beta our postpaid brand safety measurement solution for Twitter. This product addresses the need for marketers, to better understand the user-generated content, or tweets displayed adjacent to their ads in Twitter feed further demonstrating IAS's strength, in classifying multimedia content prevalent on social platforms. On our last earnings call, we discussed our acquisition of AI video platform Context. Context accelerates our existing multimedia classification capabilities. Their technology enables us to go beyond standard framework, especially in video-rich environments such as social platforms and CTV. Our first integration using the combined platform will become available in the coming months. Moving to CTV, where we remain at the forefront of innovation. We acquired Publica nine months ago, and are very excited about our progress to date. Publica added video publisher and SSP integrations, a unified ad auction, ad stitcher and an ad server to our tool kit. The combination of IAS's buy-side data and Publica's access to vast amounts of CTV data, on the supply side, has enabled us to innovate faster and provide unprecedented transparency into the CTV market. That's a win for marketers, publishers and viewers. We are delivering greater transparency in CTV, so that marketers are comfortable shifting spend from traditional linear TV. In the first quarter, we began offering insights to marketers on where CTV ads run based on the device, app, channel and content including genre, category and rating. We continue to add more publishers who are partnering with us, to share this data and bring transparency. IAS is the first to release, show-level CTV brand safety, based on GARM guidelines, providing marketers with critical insights. We are also helping CTV publishers better optimize and monetize their inventory. Publica has closed several exciting wins recently. DIRECTV is using Publica's unified ad auction, to help capture more budgets that have shifted to programmatic channels. Publica announced an agreement with Hearst Television, to provide server-side ad insertion or SSAI and unified auction services. In addition, Future Today, the leader in ad-supported streaming and Molotov TV, the leading over-the-top platform in France, are live with Publica for SSAI. During the quarter, we integrated our CTV pre-bid fraud solution within through Yahoo! DSP. Marketers who access CTV inventory via Yahoo! DSP will have protection against fraudulent traffic with access to fraud filtering pre-bid segments. Yahoo! represents the third major DSP to date to integrate our CTV pre-bid fraud solution. Additionally IAS was selected as an NBC Universal Certified Measurement Partner. IAS is now certified for audience verification enabling us to provide marketers granular media quality measurement across NBC Universal's platform. We continue to invest in building our CTV capabilities for long-term success. In April we announced the appointment of Sean Galligan as Chief Revenue Officer at Publica. Sean brings extensive publisher and advertising technology experience that will be instrumental as we extend Publica's leading market position globally. International represents our fourth growth pillar and is a key point of differentiation for IAS. The trend with marketers has been to partner with one verification provider globally across multiple markets channels and products. International revenue represented 32% of revenue in the first quarter. In EMEA, where we maintain a market-leading presence. The tragic war in Ukraine led some marketers to pull back initially on their campaigns, as they reallocated spend and adjusted creative. However, we saw demand return in EMEA and has since stabilized. We have no full-time employees in Ukraine or Russia and do not recognize revenue in either country. We stand with all people who have been impacted by this conflict including our IAS colleagues with loved ones in Ukraine. The prolonged global supply chain delays and resulting chip shortage impacted campaign spend in Q1 for a handful of customers, particularly in EMEA in the tech, telco and automotive verticals where IAS is the dominant provider. We expect any future impact from supply chain delays to be limited to these select customers, which has been factored into our outlook for the year. We have taken steps to extend our leading presence in key international markets, including EMEA with investments in senior management and talent. Earlier this year, we welcomed Csaba Szabo as our new Head of EMEA and over 15% of our new hires in Q1 were in EMEA. Under Csaba's leadership we are accelerating our expansion in European markets including Denmark and Norway. We're also expanding our international presence in new and existing markets in APAC, including India. Indonesia, South Korea, Taiwan and Vietnam where our first mover advantage is key. These are markets reliant on demand primarily from global marketers as well as from local brands. We are investing in resources to serve these markets. We've made 13 new hires in APAC since the beginning of the year, including a new head of the South Korean market who joined us in April. Additionally, our investments in agency partnerships at the local level have enabled us to expand customer relationships into new countries in Europe such as Latvia and Estonia. Beyond our four growth pillars, we are extending our media quality solutions into emerging formats such as audio. Last month, we launched a measurement beta for audio ad measurement and IBT for postpaid verification that works with all OMSDK-compliant platforms. The OMSDK is an open standard framework initially developed by IAS and now implemented widely across the industry for measurement applications. At IAS, we pride ourselves on being customer-obsessed. We incorporate customer feedback into the latest reporting enhancements to our IAS signal reporting platform. We now offer a much desired first-to-market unified view of a marketer's global campaigns and signal. By aggregating campaigns of the global, regional, national or local level marketers can evaluate campaign performance based on custom filters and optimized outcomes tailored to their most important KPIs. And with that, I'll turn it over to Joe to review the financials. 
Joe Pergola: Thanks, Lisa and thank you for your kind words. It's been a privilege to work with the leadership team and everyone at IAS since joining. I'm incredibly proud of what we have accomplished together over the last few years. I've enjoyed building and leading a finance organization that was ready to excel as a public company and has demonstrated its ability to do just that. After ensuring a smooth transition over the next few months I look forward to the next phase of my professional career. Turning to the quarter. We delivered strong first quarter results which set the stage for positive and full year performance. As a reminder, IAS has an agile and scalable business model focused on high revenue growth and margins. We have significant reoccurring revenue that provides us with visibility and predictability. We partner closely with our advertisers and publishers to build multiyear minimum impression commitments as well as fixed fee agreements independent of the media rate. We command premium CPM rates for our solutions including Context Control, Video and CTV products. Our results for the first quarter include the contribution from Publica acquired in the third quarter of 2021. Total revenue increased 33% to $89.2 million ahead of our prior guidance of $85 million to $87 million. We saw strong contributions from marketing customers, including Disney, Walmart, American Express, T-Mobile and H&R Block. Programmatic revenue for the first quarter grew 53% year-over-year. Programmatic revenue surpassed the advertiser direct revenue for the first time representing 54% of total revenue from advertisers. We expect this trend to continue moving forward with programmatic revenue representing the majority of total revenue from advertisers. Context Control represented 41% of total programmatic revenue up from 38% in the 2021 fourth quarter driven by continued adoption of our Contextual Avoidance solutions. On a combined basis, total revenue from advertisers including advertiser direct and programmatic revenue represented 84% of our first quarter revenue. Our advertiser direct revenue which includes open web and social platforms increased 6% year-over-year. We continue to see impression volume shift from the open web where display impressions were lower to social platforms with increased video adoption. Video commands a pricing premium and accounted for 45% of total advertiser direct revenue unchanged from the 2021 fourth quarter despite what is typically a seasonally slower period in Q1. Social accounted for 40% of advertiser direct revenue in the period also consistent with the fourth quarter. Supply side revenue from publishers increased to $14.1 million, which includes Publica. Total supply side revenue represented 16% of our first quarter revenue. We continue to grow our leading global market presence. International revenue increased 11% in the quarter and represented 32% of total revenue. As anticipated, our current revenue mix between Americas and Rest of World reflects Publica, which has been US-focused to date, we are working to leverage our existing global footprint to expand Publica's presence internationally. In addition, International revenue for the period reflects the impact of the conflict in Ukraine as well as the impact of supply chain delays in the automotive and tech telco verticals on select customers, particularly in EMEA. Breaking down our revenue for the quarter by geography. Total revenue for the Americas was $60.6 million, up 47%; EMEA was $21.7 million, up 14%; and APAC was $7 million, up 3%. Gross profit margin was 81% compared to 83% last year reflecting increased hosting fees and other costs as we scale the business. Non-GAAP operating expenses, which excludes stock-based compensation expenses and other items for comparability, grew 22% versus our top line growth of 33% reflecting our efficient operating model as well as lower costs due to COVID. Total operating expenses for the first quarter of 2022 reflects favorable T&E and facilities expense. Stock based compensation expense for the period was $8.1 million. Moving on to profitability and performance metrics. Adjusted EBITDA for the first quarter, which excludes stock-based comp and other one-time items, increased 32% year-over-year to $24.8 million at a 28% margin. The combination of top line growth and strong adjusted EBITDA margin performance enabled us to once again reached a rule of 60 for the period. Net income for the quarter was $1.2 million or $0.01 per share. Net income reflects lower interest expense as a result of reduction of long-term debt and our debt refinancing at a lower interest rate. We're pleased to achieve net income profitability in the period for the first time as a public company. We will continue to focus on profitable growth based on our efficient operating model. We believe adjusted EBITDA remains the best measure of profitability for the company. Our first quarter net revenue retention or NRR was 126%, reflecting our ability to meet the growing needs of our customers with value-added solutions. We did not experience any churn in our top 100 customers in the quarter. Total advertising customers grew 11% year-over-year to 2,104 advertisers. Our total number of large advertising customers with annual revenue over $200,000 increased 7% year-over-year to 184. In terms of our financial condition, we ended the first quarter with cash and equivalents of $82.3 million compared to $73.2 million at December 31. Turning to our guidance. For the second quarter ending June 30, 2022 we expect total revenue in the range of $97 million to $99 million. Adjusted EBITDA for the second quarter is expected in the range of $29 million to $31 million. For the full year 2022, we are increasing the midpoint of our guidance for revenue and adjusted EBITDA to reflect our strong Q1 performance and positive business outlook. We now expect total revenue for the full year in the range of $418 million to $424 million. Adjusted EBITDA for 2022 is now expected in the range of $129 million to $135 million. Publica's revenue contribution in the first quarter keeps us on track to realize our expectation for Publica to represent approximately 8% of our total forecasted revenue for the full year. A few additional modeling points. We expect Q2 and full year gross margins at similar levels to Q1 as we continue scaling the business to accommodate our growth. We expect the adjusted EBITDA margin expansion throughout the year, as we move into our busiest seasonal periods. Stock-based compensation expense for the second quarter of 2022 is expected in the range of $10 million to $11 million. Full year stock-based compensation expense is now expected in the range of $42 million to $45 million. Shares outstanding for the second quarter are expected in the range of approximately 155 million to 156 million. We continue to expect full year shares outstanding in the range of 155.6 million to 156.6 million. In conclusion, we're off to a strong start and expect overall positive demand trends to continue throughout the year. I would now like to turn the call back over to Lisa. 
Lisa Utzschneider: I'd like to thank everyone on today's call for their ongoing support. I'd also like to express my gratitude to the entire team at IAS for their hard work and commitment. Our employees are the engine of our growth and we're proud to be recognized by comparably as one of the best places to work in 2022 in the New York metropolitan area along with comparable recognition of IAS as the Best Marketing Teams 2022. We look forward to executing on our strategy and reporting on our progress. Joe and I are now ready to take your questions. Operator?
Operator:  Our first question comes from the line of Brent Thill with Jefferies.
Brent Thill: Good afternoon. Many are asking as it relates to the advertising market, if things get a little tougher here given the macro headwinds. It still seems like in your category you can actually grow your share even if we saw some near-term headwinds. And I think many are just curious your thoughts about how you position yourself into potentially stiffer economic headwinds and how you see the defensive nature of your portfolio playing out over this year?
Lisa Utzschneider: Hi, Brent, great question. So we have a strong quarter for Q1 and strong momentum into Q2 some of the macroeconomic events of Q1 both what happened -- is happening in Ukraine and then some of the chip shortage soft impact on a handful of advertisers. Marketers did pause momentarily, but then as you can see in March of Q1, we had a strong month in March and we're seeing a strong month in Q2. So feeling really good about our momentum, feeling really good about the fact that our sales team is out and upselling and cross-selling across our existing accounts and then also putting new wins on the board.
Brent Thill: Great. Thank you. And just a quick follow-up on TikTok. Can you just comment -- I know that's super early, but what that means now with that relationship?
Lisa Utzschneider: So with TikTok, TikTok continues to be a very important strategic partner for us. As you might remember, we launched a multimedia classification technology last year. It was a pre-bid technology that we rolled out in three markets: U.S., Germany and France. We ran over 100 campaigns with the product with over 50 marketers. We're now scheduled to expand that product into Australia and U.K. And as we announced earlier this week, we're also launching a postpaid measurement solution for viewability and invalid traffic using OM SDK. The great news is now we'll offer a full pre-bid postpaid solution for marketers. And as you know marketers, they want to be where the users are, and the users are on the social platform. So we're really looking forward to expand this solution and also roll it out into additional markets.
Brent Thill: Thank you.
Lisa Utzschneider : Thanks, Brent.
Operator: And our next question comes from the line of Jason Helfstein with Oppenheimer. 
Jason Helfstein: Thanks. Two. Just one, I want to follow-up a little more on TikTok. So is there a way to understand like how like when a client says, okay, I want to test it. Like how does it paid? I mean, do they go like one test and it's all-in in that country for whatever the solution is? So like, okay, you have pre-bid, once you have post-bid, like -- just like how does it like scale? Like is there any reason why 100 like a client if you supported that country that a client wouldn't be running 100% of their spend in TikTok, for example, through your tools? And then second question, as we kind of are heading into the summer and the upfront, it seems like there's just given how much linear TV ratings are down that there's going to be another seismic shift of money from linear to video. And I guess just how are you thinking about positioning the company to benefit from that and just kind of some of the conversations that are going on kind of around upfront and programmatic guarantees and all that? Thank you.
Lisa Utzschneider : Sure. Great question. So the good news about the multimedia classification tech that we built for TikTok, it's built for scale. So it's built for global scale. The product is also portable. So right now on TikTok, we're able to classify video, image, audio and text granted when you're running it in different markets with different languages. It also has to be adjusted for the local languages that it's running in. But our plan with TikTok is to roll it out to a dozen markets or more. Again, it also requires ensuring that the market adoption ramps too and that marketers that so far we've received very positive feedback on the product. So the intent of our TikTok solution is absolutely to scale it across multiple markets for the global marketers interested in investing more in TikTok and want to rest assured that when they run their branded campaigns on TikTok, especially in a live feed, it's running in brand safe and brand suitable environments. In terms of your second question regarding upfronts and the shift from linear to video, we're full steam ahead with CTV. As I like to say, it's the early innings of a long game, but there's such greenfield ahead with CTV. And I couldn't be more excited about our product pipeline right now that we're building both for publishers and marketers. And we've made incredible progress over the last nine months since acquiring Publica both enhancing transparency for marketers so that they better understand where their ads are running on programmatic CTV. In terms of our product pipeline with CTV, we're focused on three key areas. First is new MRC accreditations where we're partnering closely with the MRC to ensure our CTV products accredited. Also ensuring that we're scaling GARM brand safety across our products and also innovating media quality measurement. In addition to that we also launched a PMP, which combines both data and product capabilities both from IAS and Publica. Again to ensure we're offering high-quality programmatic CTV inventory at scale for marketers.
Jason Helfstein: Thank you.
Lisa Utzschneider: Yeah. Thanks Jason.
Operator: And our next question comes from the line of Mark Kelley with Stifel.
Mark Kelley: Great. Thank you very much. I just wanted to dive into the guide just a little bit more. Lisa it sounds like maybe there's a little bit of conservatism baked in given the supply chain issues and the Ukraine situation and everything else going on in the world. I want to make sure that's the case given the healthy 1Q beat. And then number two, I guess you spent some time talking about CTV obviously in your prepared remarks and obviously on some of the last questions that you just fielded. Would love to get your thoughts bigger picture on Disney+ and Netflix with ads, I guess what are your expectations there in terms of a meaningful driver for the transition away from linear into digital and then what that could mean for you guys? Thank you.
Lisa Utzschneider: Yeah. Thanks Mark. The first question regarding the guide as I stated before, we're feeling very positive about the momentum that we're seeing in the business. We also feel very good about the guide both for Q2 and for the full year and we'll just continue to focus on executing our product roadmap and deliver differentiated products for our customers. Regarding CTV and the announcements recently with Disney+ and Netflix, I see it as good news for the advertising community. It was interesting news that came out, but we see this more as a probably a 2023 lift to our business but we're watching closely to see when both the platforms will be rolling out an ad-based offering.
Mark Kelley: Perfect. Thank you Lisa.
Operator: Thank you. Our next question comes from the line of Brian Fitzgerald with Wells Fargo.
Brian Fitzgerald: Thank guys. Facebook made this announcement of an initial brand suitability partner for news feed during the quarter a smaller player in the market. Just wondering if you could give us an update there, are they still engaged in a broader process around news feeds? Any color you could provide. And then I just wanted to confirm if there are some issues in the macro, any thoughts on how that plays out between price and volume in the ad market? And if pullbacks are mainly around media CPM, will you assume you wouldn't see much of an impact? Any color there?
Lisa Utzschneider: Sure. Thanks Fitz. So the first question about Meta. So Meta continues to be an important strategic partner for us. We work closely with Meta. We've been partnered with them for many years. And they did announce that they're working on an alpha-beta product a brand suitability product that would run within the live news feed something marketers have been clamoring for. We are one of the badge partners with Meta. And we look forward once that product gets baked to be partnered with Meta most likely towards the end of the year. So, once we have more news to share on the Meta partnership we'd be happy to share it on an upcoming call. In terms of macro trends and impact on price and volume, what's interesting is, when you take a look at pricing and volume, the reality is we've seen pricing bifurcation over the last few years. As we continue to accelerate both in programmatic and we saw additional higher-value products like contextual which we're taking advantage of this shift away from display over to video as more and more consumers are consuming video content. And you double that with what's going on with CTV and the just explosion of the adoption of CTV. It just gives us momentum to further accelerate our pricing upside in the future.
Brian Fitzgerald: Got it. Thanks, Lisa. Appreciate it.
Lisa Utzschneider: Thanks Fitz.
Operator: Thank you. And our next question comes from the line of Mark Mahaney with Evercore.
Mark Mahaney: Okay. I know one question I wanted to ask is try to get the impact of Publica on the first quarter results. Is there a way to do that? Last quarter I think on an organic basis I think ex-Publica the growth was something like 21% year-over-year. Any way to compare what the growth was like this quarter on those -- on that level?
Joe Pergola: Yeah. Hi, Mark, this is Joe. So with Publica as we called out last quarter, we fully expect them to make up about 8% of our full year revenue for 2022 and they continue to track towards that. We're really pleased with the business. The wins they're putting up on the board and the large pipeline that they are building. So that's the target for Publica and we continue to see them grow and expand with ad seasonality through -- from Q1 to Q4 and accelerate the business.
Mark Mahaney: Okay. And then overall would you -- any -- and I'm sorry, if you already covered this earlier. Any verticals -- any advertising verticals of strength or weakness to call out?
Joe Pergola: Yeah. CPG continues to be a strong vertical for us. As you can imagine this environment, especially in EMEA we've seen some isolated pockets with auto, having some impacts with the supply chain shortages some isolated client issues. Other than that CPG, Tech Telco, globally all of our verticals continue to accelerate.
Mark Mahaney: Okay. Thank you very much, Joe.
Operator: And our next question comes from the line of Raimo Lenschow with Barclays.
Unidentified Analyst: Hi. This is Frank on for Raimo. Thanks for taking my question. Just on the new customers added in the quarter could you provide some color into how many of those were greenfield versus competitive wins? And have you seen any real shift in the competitive environment following the acquisition in the space recently? Thank you.
Lisa Utzschneider: Sure Frank. I'm happy to answer that. So, the sales team, they're firing on all cylinders. What was great about heading into 2022 is we have a fully loaded sales team. So we've filled the majority of our sales positions globally. And they put some big wins on the board for Q1. These were three Fortune 100 accounts 7-digit deals, jump falls with competitors like my kind of win accounts like Progressive, Activision, JPMorgan Chase. Getting back to the previous question about verticals, we are very diversified and our business runs across all of the verticals and these three wins reflect that. So it's great to see these wins on the board.  The other thing that's great to see is we're accelerating, how quickly we can activate accounts and start generating revenue quickly and we've created a playbook for the team and sharing the playbook out. So, we're getting these accounts up quickly. In addition to that, the other wins and I was actually going through this data before the call that we're seeing is our mid-market vertical is growing nicely like high, high double digits year-over-year.  We've seen some significant wins that range above that top 200 accounts. So, we're ensuring that both with our existing accounts or 2000 advertisers around the world we're both cross-selling and upselling, plus driving nice new wins and winning deals in these jump balls against our competition. 
Unidentified Analyst: Very helpful. Thank you.
Lisa Utzschneider: Yes, great. Good question. Thank you.
Operator: Your next question comes from the line of Andrew Marok with Raymond James. 
Andrew Marok: Thank you for taking my questions. On the social platform expansion, it seems like a lot of the expansion strategies are kind of around sort of piecemeal or a couple of products or markets at a time. I guess how much of that limiting factor there is the social platforms themselves wanting to limit the scale or scope at first versus kind of the sheer number of opportunities that IAS has in front of them and potential capacity constraints? 
Lisa Utzschneider: Yes, I could take that. Great question Andrew. So, in social where we see the big, big whale of an opportunity is offering brand suitability solutions within the live feeds of social platforms right? So, we launched first with TikTok offering a full end-to-end solution pre-bid, post-bid measurements coming out. Twitter is following TikTok. And then I spoke to Meta earlier.  But spending a lot of time with marketers, when you hear what they really need on social is they want to be where the users are and the users are spending their time within the live feeds of social platforms. So, it will take some ramp time getting these products up, running across multiple markets, multiple languages but we're very, very excited about the opportunity that's ahead with the live feeds of social platforms. And again launching differentiated products on behalf of our marketers. That's where we see the real opportunities within the live feeds. 
Andrew Marok: Thank you.
Operator: Your next question comes from the line of Dan Salmon with BMO Capital Markets. 
Dan Salmon: Good afternoon, everyone. I've got two questions similar one to what I asked your competitors, one of your competitors yesterday. The first has been some noise around the ecosystem lately around, how media quality companies create their products especially such as contextual targeting, how publisher data is used for that. Lisa, obviously, your company has been mentioned in some of those reports. I'd just be here -- interested to hear, your view on that? And whether or not you feel like there is any sort of tension I guess in your relationship with publishers these days? And then, second, IP addresses largely being removed from the digital ad ecosystem increasingly for privacy reasons. I know you don't track individual people, but I believe you do use it as in your methodology for some of your products. So could you just talk a little bit about, how a loss of IP address may or may not impact you? Thank you.
Lisa Utzschneider: Great question Dan, I'll take them in order. So the first question on publishers. So you can see it in our Q1 numbers we continue to grow our publishing business nicely. It's a testament to our strategic tight relationships with our publishers who rely on our solutions to ensure that they are offering high-quality media. With the publishers, the data that we process so we process a lot of data, but the data is public data that's available on the open web, on the social platforms. And the data as you know Dan is about the ad event. So the, what and the where has nothing to do with the, who. So, some of the news that you've been reading about, we continue to just drive hard on behalf of our publishers. And then, in terms of the IP addresses, the only thing we do with the IP addresses is, we use it to further enhance our fraud detection and fraud technology. So the shift that you're seeing, I don't see it really impacting our business. And again, we just ensure that we're processing the right data and building trusted relationships with our partners.
Dan Salmon: Okay, great. Thank you.
Lisa Utzschneider: Thanks Dan.
Operator: Thank you. I'm showing no further questions at this time. So with that, I'll hand the call back over to CEO, Lisa Utzschneider, for any closing remarks.
Lisa Utzschneider: Thanks again for joining us on today's call. We're off to a strong start for the year despite the current macroeconomic uncertainty. We remain encouraged by the positive demand for our solutions, as highlighted by our full year outlook. We are focused on delivering profitable growth through innovation and execution. I look forward to updating you on our progress.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. And you may now disconnect.